Operator: Good morning. My name is, Brian, and I will be your conference facilitator today. At this time, I would like to welcome everyone to the Granite Construction Investor Relations Second Quarter 2018 Earnings Conference Call. This call is being recorded. All lines have been placed on mute to prevent any background noise. And after the speakers' remarks, there will be a question-and-answer period. Please note, we'll take one question and one follow-up question from each participant. It's now my pleasure to turn the floor over to your host, Granite Construction, Vice President of Investor Relations and Government Affairs, Ron Botoff. Sir, the floor is yours.
Ronald Botoff - Granite Construction, Inc.: Thank you. Good morning and welcome to the Granite Construction Incorporated second quarter 2018 earnings conference call. I am pleased to be here today with: President and Chief Executive Officer, Jim Roberts; and Senior Vice President and Chief Financial Officer, Jigisha Desai. Welcome, Jigisha. We'll begin today with an overview of the company's safe harbor language. Some of the discussion today may include forward-looking statements. These forward looking statements are estimates reflecting the best judgment of senior management and reflect our current expectations regarding future events, occurrences, circumstances, activities, performance, outcomes and results. Actual results could differ materially from the statements made today. Please refer to Granite's most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligation to update forward-looking statements whether as a result of new information, future events or otherwise. Certain non-GAAP measures may be discussed during the call and from time-to-time by the company's executives. And please note that a reconciliation of certain non-GAAP measures is included as part of our earnings press release. For more information, please visit our investor relations website at investor.graniteconstruction.com. Thank you. Now, I would like to turn the call over to Granite Construction Incorporated, Chief Executive Officer, Jim Roberts.
James Roberts - Granite Construction, Inc.: Thank you, Ron, and good morning, everyone. Thank you for joining us to discuss our second quarter results. Before we dive too deeply, I want to take this opportunity to welcome to Jigisha Desai to her new CFO role. She has earned this role, developing into one of the Granite's most talented leaders over more than 25 years with our company. Welcome, Jigisha. Getting off to a quicker start in 2018 than last year, Granite employees and teams performed solidly again in the second quarter. After a slow April seasonal start in some areas, teams built significant momentum through the quarter and delivered solid financial and safety performance. This positions us particularly well for the stepped up pace we expect in the second half of 2018. We congratulate Granite teams for their safety focus as we remain on course to finish 2018 as the safest in our company's history. Safety is one of Granite's core values, and we cannot overstate its importance. We thank our teams in advance for their effort in getting everyone home safely every single day as we enter the height of the building season. During the second quarter, we were very pleased to welcome many new members to the Granite family following our completed acquisitions of Layne Christensen and LiquiForce. These acquisitions extend our reach and deliver on our end market and geographic diversity strategy in Granite's growing and targeted water, wastewater and mining infrastructure markets. Teams are working well together, pushing forward across the business and ensuring our integration forges ahead as planned. I would like to extend a sincere thank you to our employees and shareholders for their continued support, helping us deliver on this exciting next leg of our strategic plan. Granite's performance in the second quarter of 2018 reflected a steady balance of execution and growth. Teams emphasize discipline and patience, which help drive improved bottom line results, reflected in gross profit margin improvement across all segments, consistent with this year's first quarter results. In project pursuits, we are building relationships and developing opportunities and skillsets for more negotiated and private work, and we are doing this with a healthy multi-year outlook. Our growth outlook is based on stable and improving infrastructure funding demand trends from the public sector, especially in Granite's key Transportation and Water Infrastructure markets. As a result, today's healthy balance of long-term public and private demand is the best we have seen in well over a decade. In advance of having Jigisha really take the CFO reins for the first time to discuss the details of our results, capital structure and our outlook, less than just a few minutes talking about Granite's healthy second quarter and the first half 2018 results, especially in context of our broader strategic focus and our company's long history. On a revenue basis, we delivered the second-best second quarter Granite has ever had. Combined with our strong Q1 performance, this year's first half revenue performance was our best-ever start to any year. Of course, top line growth is nice, but we are delighted that on an adjusted basis, net income, earnings per share and EBITDA, all showed significant year-over-year gains, both on a quarterly and half year basis from 2018, reflecting the continued growing strength of our business. As a result of the strong 2018 start, backlog was down year-over-year, but up slightly, sequentially, remaining at a healthy historical level of more than $3.6 billion, split about one-third and two-third between the Construction and Large Project Construction segments. Following the close of the second quarter, we received notification of project wins that are not yet included in our backlog. These four project wins across four operating groups, which total more than $875 million are expected to enter backlog in the second half of 2018 and early 2019. We will provide additional detail on these projects when contracts are finalized and the projects actually enter our backlog. Shifting back to our operational performance, we move to the Construction Materials segment, which had another solid growth quarter and continues to gain momentum. Construction Materials segment performance has been a highlight this year, with first half revenue higher by 29% and profitability better by 78% from 2017. We continue to view this part of our business as a leading indicator of a healthy improving economy and a leading indicator for the overall health and direction of our vertically integrated business model. It is particularly pleasing to see this critical element of Granite's measured, disciplined growth strategy finally flexing a little operating leverage muscle. Granite never has lost focus on the importance of the Materials business as a vital component and driver of our business strategy. And these positive trends bolster our confidence in our longstanding vertically integrated model. In the Construction segment, business activity increased steadily through the end of the quarter after a slow April start. Across geographies, Granite teams continue to execute at a high level delivering solid mid-teens gross margin performance in line with our expectations, reflecting a healthy increase of activity through the quarter. And through July, steady growth is expected to return in the second half of 2018. Public and private markets remain competitive, but the balance of opportunities is significant. Hit rates have been impacted in some markets in alignment with increased bidding, pricing and market discipline, but this discipline is creating and will continue to create pricing and margin improvement. We believe bidding discipline today will pay larger and larger dividends in growing demand and tighter supply environments. We will continue to emphasize margin growth opportunities as demand, especially public demand, continues its push higher. Rounding our operational performance review, we look now to the Large Project Construction segment, which produced steady revenue improvement and modestly improved second quarter profit performance from last year. Revenue and profit performance overall in the second quarter was driven by an increase in ongoing accelerated work on a small number of underperforming mature projects. As has been discussed previously, mature projects had an increased negative sequential impact on second quarter results. Newer projects continued performing at solid levels, as we saw on the first quarter. And we expect our focused efforts on mature projects to help us get to substantial completion of two of those projects by the end of this year. Segment margins remain well below our long-term mid-teens expectations. Challenging projects should have a declining negative impact following the third quarter of this year. In our Large Project pursuit strategy and framework, we are focused on patience and discipline and we continue to target steady margin improvement through 2019 and 2020. Turning briefly to some politics of the day, California's 10-year, $52 billion SB 1 transportation bill is just now kicking into gear. As a reminder, the American Road & Transportation Builders Association estimates $183 billion of economic impact and more than 60,000 jobs will be created through the first 10 years of this funding legislation. In June, a purely partisan Get Out The Vote effort was successful in getting a repeal initiative, Proposition 6 on the November ballot. We are focused on the defeat of this myopic political measure. This followed voters' June 5th approval of Proposition 69, which created a lockbox for all SB 1 related funds. This means that these user based fees now only can be used for their designated transportation purpose. This government accountability measure received more than 81% voter approval. It is difficult to predict what voters will do in November, but we believe that Californians will vote no on Proposition 6 to preserve this overdue long-term investment and to preserve and improve Californians' quality of life for generations to come. Granite supports and advances rational practical discussion of protection of this funding measure and across the span of infrastructure investments. We are committed with other industry leaders, with labor leaders and with political leaders to explain and to highlight what SB 1 will deliver in improving California's infrastructure, making roads safer and improving congestion. While a key incremental growth driver in California, SB 1 today is only just now adding to already healthy public market demand. Even without SB 1, positive public market trends here in California and across the country are being driven by nearly $190 billion of long-term local voter measures passed in 2016 by record tax receipts and by transportation funding measures passed in nearly 30 states over the past five years. Granite is extremely well positioned to grow and to capture our share of the increased infrastructure investment. Turning to Washington, we remain a long way from a substantive long-term fix to the Highway Trust Fund and a proactive view towards long-term incremental federal infrastructure investment. Recently, though, Representative Bill Shuster, Head of the House Transportation and Infrastructure Committee authored bipartisan legislation to provide long-term fixes to the Highway Trust Fund, as well as significant new transportation and Water Infrastructure funding. As part of a long-term overhaul of federal transportation and water investment, Shuster suggested his plan does not represent a complete and final infrastructure bill. Rather, it is intended to restart conversations and build momentum toward action later this year. Time will tell if this expectation is ambitious. With an emphasis on reform of the Highway Trust Fund to keep it solvent, Shuster's proposal extends the funding, policies and programs of the FAST Act through fiscal year 2021. The legislation raises federal gas tax $0.15 and diesel by $0.20 per gallon by 2020, which then are indexed to inflation through 2028. As proposed, the bill adds approximately $280 billion in incremental infrastructure funding over the next decade, including the Water Infrastructure Finance and Innovation Act, better known as WIFIA. Proposed WIFIA reauthorization with doubling the current annual leverage funding level, potentially would add an additional $2 billion a year of funding for water and wastewater projects while also providing an additional five years of funding for federal water pollution control programs. For both water and transportation projects, the bill recommends streamlined processes and concurrent project and environmental reviews. Overall, the plan combines billions of dollars in grants with suggested trillions of dollars in appropriations for projects of national significance. The long-term impact of such a proposal would be significant. But today's healthy economic and funding environment continues to fuel Granite's growth outlook. Our pace down the path as America's infrastructure company is accelerating. Completed acquisitions in the `second quarter position us to become a consolidating, growing presence in attractive water, wastewater and mining markets and a growing leader in the space. We continue to explore opportunities to tuck in adjacent businesses as well as to expand our vertically integrated model to the East. We congratulate our employees and teams for their start to 2018 and for exhibiting Granite's core values every single day. With that, I hand it over to Jigisha with detail on our results and our 2018 outlook. Jigisha?
Jigisha Desai - Granite Construction, Inc.: Thank you, Jim, and good morning, everyone. Second quarter 2018 revenue totaled $807.1 million, up 5.8% from last year, with the bottom line finishing at a GAAP net loss of $8.4 million. Diluted earnings per share declined year-over-year to a loss of $0.20 from earnings of $0.35 per share in the second quarter of 2017. Second quarter 2018 adjusted net income was $17.9 million or $0.43 per share. This figure excludes the impact of non-recurring expenses, synergy costs and amortization of acquired intangibles related to our acquisitions of Layne and LiquiForce. On a year-to-date basis, our adjusted net income reflected a more than $22 million bottom-line improvement in the first half of 2017. Adjusted EBITDA improved significantly both in the second quarter and year-to-date, totaling $50.9 million during the quarter, up 26.5% year-over-year, and nearly tripling in the first half of 2018 to $60.2 million. Consolidated gross profit increased 7.8% year-over-year to $80.4 million in the second quarter of 2018. As we reported in the first quarter of 2018, all three reportable segments contributed to the year-over-year profit improvement with consolidated gross profit margin up about 20 basis points to 10%. Acquisition related revenue totaled $29.6 million in the quarter, which had a corresponding minor impact to consolidated gross profit margin. While we readjust our focus to growth, our scalable cost structure continues to produce results. Second quarter 2018 SG&A increased about 19% year-over-year with the majority of the increase driven by acquisition related costs. Including the impact of acquisition costs, especially in Q2, year-to-date 2018 SG&A as a percentage of revenue still finished in 8.9%, down from 9.2% last year. Granite's balance sheet remained strong with $276.7 million in cash and marketable securities at the end of Q2. With the recent increase in extension of our credit facility to $500 million, our capital structure is well positioned to support the execution of our strategic plan. Total contract backlog decreased 10.1% year-over-year and increased 1.8%, sequentially to finish the second quarter 2018 at $3.65 billion. Burn of Large Project Construction backlog was the largest source of the year-over-year decline. Through our acquisitions in the second quarter, we added about $286 million of backlog, primarily in the Construction segment. With that, Construction segment backlog finished up slightly year-over-year, and up more than 30%, sequentially, from the first quarter to $1.27 billion. Large Project Construction segment backlog finished at $2.3 billion, down 15% year-over-year and about 9%, sequentially. Moving now to the segment detail, second quarter 2018 Construction segment revenues increased slightly year-over-year to $432.2 million. Gross profit increased 1.1% in the second quarter to $61.6 million with gross profit margin in line with our mid-teens expectation at 14.2%, up slightly from last year. Large Project segment revenues increased 7.7% year-over-year in the second quarter to $273.9 million with segment gross profit and margin both, finishing slightly better than last year. The majority of the decline from our first quarter 2018 performance reflected the increased influence of mature underperforming projects on quarterly results. As we work towards substantial completion on these projects, these low- or no-margin-contribution projects are expected to remain a drag on segment results for the remainder 2018, albeit with an expected declining impact after the third quarter. I finish the second quarter results discussion today with our Construction Materials segment. Here, we saw in the first quarter of 2018 revenues again increase sharply, up 27.5% year-over-year to $100.9 million, the first time we have achieved that level of second quarter segment revenue since 2007. During the quarter, gross profit improved nearly a third year-over-year, contributing nearly 70 basis points of gross margin improvement to finish at 17.3%. This trend continues to reflect and support Granite's healthy growth outlook. Granite teams are positioned to capitalize on benefits from demand improvement, increased bidding discipline, balanced cost control and prudent investment. These measures and efforts together will continue to fuel enterprise-wide improvement across our business. With that, I wanted to update a number of metrics that guide our view for the year. We will continue to invest in selling expenses as we grow our business. Our core cost structure has and should continue to provide scalable benefits, allowing us to manage costs and to invest prudently in today's steady growth environment. Noting that we have taken on higher acquired overhead structures that will rationalize over the next year or so, we now expect SG&A as a percentage of revenue to finish at or slightly higher than last year's 7.5% level. We anticipate 2018 capital expenditures of $105 million to $115 million, including acquisitions. Depreciation and amortization should increase year-over-year to $95 million to $105 million, again, including acquisitions. Granite's tax rate on a go-forward basis should settle around the mid-20s-percentage-level, reflecting the combination of 21% federal rate and our average state tax rate offset by the loss of certain tax deductions. Please note that negative tax rate in Q2 2018 and the low tax rate in the first half 2018 are due to the impact of one-time non-deductible acquisition and integration expenses, resulting in tax expense. This should normalize in the second half of 2018. As a reminder, our functional businesses are managing the operating groups. In June, following the close of Layne transaction, we announced the creation of a new Granite operating group, Water and Mineral Services and we announced an expected reportable segment realignment. Beginning in the third quarter of 2018, the Kenny operating group's underground business and LiquiForce will join Layne businesses as part of Granite's Water and Mineral Services group. Also during Q3, we will make adjustment to Granite's reportable segments to end market-based segments consistent with the execution of our strategic plan. We will provide you with additional detail on upcoming segment and group reporting changes in September. With that, I finish with our positive growth outlook, which includes recent acquisitions for the second half of 2018. Our expectations for 2018 are mid- to high-teens consolidated revenue growth and consolidated adjusted EBITDA margin of 7% to 8%. Now, before we take your questions, let me turn the call back to Jim.
James Roberts - Granite Construction, Inc.: Thank you very much, Jigisha. With our strong start to the year now behind us, Granite continues to target disciplined profitable growth in 2018 and beyond, driven by the best long-term demand trends we have seen in more than a decade. Early stages of demand improvement across the country are creating more opportunities for Granite and for our employees. Near-term improvement is a guidepost while we maintain our long term focus that drives strategy. Improved financial performance and balance sheet strength will help us to deliver on our growth plan through diversification and geographic expansion, providing significant incremental economic value for Granite's key stakeholders. Driven by the consistent execution of our strategic plan, we are quite enthusiastic to expand Granite's platforms for growth, investing in our businesses and in our people to deliver on the promise of our plan. I am confident 2018 is an important year of profitable, strategic and deliberate evolution. And with that, we will be happy to take your questions.
Operator: Today's first question comes from Michael Dudas with Vertical Research Partners. Please go ahead.
Michael S. Dudas - Vertical Research Partners LLC: Good morning, gentlemen, Jigisha and welcome aboard.
Jigisha Desai - Granite Construction, Inc.: Thank you.
James Roberts - Granite Construction, Inc.: Good morning, Mike.
Michael S. Dudas - Vertical Research Partners LLC: Good morning, Jim. First question. So, looking at second quarter revenue growth relative to full year revenue expectations, I'm chucking it up to the slow April, if you can characterize what the slow April meant. And is it the normal slow April or something different occurred? The discipline in your bidding, how that impacted Q2, and may impact going forward. And the Large Project acceleration on the revenue front, is the impact to the third and fourth quarters may be a bit more negative than you would have anticipated or is that still within the range that you put for guidance?
James Roberts - Granite Construction, Inc.: Okay. Thanks, Mike. Let me go address Q2 revenue first, and then backlog and then I'll address Large Projects. I think there's three discussion points that you wanted to just talk about.
Michael S. Dudas - Vertical Research Partners LLC: Yeah. Thanks.
James Roberts - Granite Construction, Inc.: Q2 revenue was really more of an interesting program, where, yeah, April was pretty slow. And it was kind of somewhat surprising, but we came out of the shoot\ in May and June really strong, and so it helped to offset a slow April. We had areas of the country that did have some weather and we had slower project starts than we had anticipated. But I would suggest to you that May and June were very healthy, and we're really accelerating at the tail end of the quarter. On the backlog side, it's an interesting environment. I have not seen an environment with as much bidding opportunities as we have today in quite some time, probably going back to 2007. With that said, we have been working very hard to increase our margin expectations on a day-to-day basis in all areas of the country bidding, whether it is Construction or Large Projects. And to do that, you have to be willing to slow down your hit rate. Because the more – the higher pricing you put in the bid environment, chances are the competitive environment is not going to change overnight. We have been very strategic to raise our prices, still getting a reasonable hit rate, slowing down our backlog a little bit, but knowing and looking out in front of us, that the amount of work out to bid every single month from this point going forward is significantly greater, than I've seen in years, Mike. So, I'll give you an example. From a public environment, just on our Construction, we're bidding over $500 million a month right now. Two years ago, it was about a third of that. So, what we've got to do is stay disciplined, change our margin expectations. And it's my opinion as a leader in the industry, that's our job. Now, will our competitors take a larger market share in the very short run? Most likely, but I think it's healthy for us. And I said that in discussions earlier. We're willing to sacrifice some very short-term margin and backlog, I'll call it revenue and backlog, because I believe we're building a much stronger and healthier tail end of 2018 and 2019. Now, to add to that a little bit, what it looks like that some of the projections in the SB 1 monies in California came in a little bit late. It's hot now, very hot. So, it was a little slower in the first and second quarter than I would have thought, but I guess I should've expected that it just takes longer to get those projects out on the street. But like I said, today, the market is robust and that would be an understatement in terms of what the market is doing from a bidding perspective. I am not concerned at all about meeting our revenue expectations in the second half of the year. And I'm actually excited to see what we can, through our discipline, can get our margin expectations up to. You can see that in Construction Materials business. That has always been the part of the business that I've said will be the leading indicator of the health of the market, and it's the health in good or in bad times. And as those revenues and margins have increased, it's a leading indicator of what's going to follow in the Construction portion of the business as well. So I ask, just be patient. It is a very healthy environment and it is coming and – towards the back half of 2018 is going to be very, very solid. Now, on Large Projects, you asked about the revenue acceleration. I think what we have been consistently saying, Mike, is that we expected the middle of the year, when we ramped up and accelerated several of the Large Projects that we're trying to bring to conclusion, by the end of 2018 that that would have a larger impact on our earnings during the second and third quarter. And we would attempt to get those as close to as being behind us by the end of the third quarter as possible so that you would start seeing a ramp-up in our earnings in the fourth quarter. That is still on pace. It is in alignment with what we've said for the last, I'd say, three quarters. And I do expect that to continue to happen. So, it's somewhat planned and we knew that these months would be accelerated revenue in Large Projects. We knew it will be accelerated in the mature projects that had little or no margin. And I do think the light is at the end of the tunnel and I think you'll see us coming out of the tunnel at the end of the third quarter.
Michael S. Dudas - Vertical Research Partners LLC: Well, I was going over the Tappan Zee Bridge twice a day. You guys are working real hard. I can tell you that.
James Roberts - Granite Construction, Inc.: Yes. We are putting huge energy into that to get that thing fully operational by the end of the third quarter, beginning of the fourth quarter.
Michael S. Dudas - Vertical Research Partners LLC: I look forward to that. And just my follow-up for Jigisha, maybe give a sense of what – during the second half of the year, how the balance sheet is going to look, cash flow, working capital pick up – working capital changes as you integrate the acquisitions and as you ramp up the revenues in the second half of the year? And like, what are the targets you guys are putting towards, say, for the year and any specific leverage targets or free cash targets we should think about?
Jigisha Desai - Granite Construction, Inc.: Our balance sheet is very strong and it continues to be strong. As you know about our industry, we tend to use our cash. In the first half the year, we start building cash. As we integrate Layne, they have certain CapEx require which we have built into our forecast. We -our target to generate operating – positive operating cash flow for the year. We are always focused on the working capital management. And we believe that, we are on target with what we had expected for 2018.
James Roberts - Granite Construction, Inc.: The other thing, Mike, that we like about the Layne and LiquiForce businesses again – and it's part of the portfolio mix – is that you certainly don't have major cash flow swings like you do on Large Projects. So you don't have contributions up-front of significance and you don't have to wait till the end of the job to get distributions from a non-consolidated joint venture. So it's more of an even keel cash flow projections that I think is going to be easier for Jigisha and her team to predict where the cash flow will come from. And I think it's going to be a more measurable rate going forward. And it is all built into our current expectations.
Jigisha Desai - Granite Construction, Inc.: That's true. Thank you.
Michael S. Dudas - Vertical Research Partners LLC: Thank you, Jim and Jigisha. Appreciate it.
James Roberts - Granite Construction, Inc.: Thanks, Mike.
Operator: Next question comes from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich - Goldman Sachs & Co. LLC: Yes. Hi. Good morning, everyone.
Ronald Botoff - Granite Construction, Inc.: Good morning, Jerry.
James Roberts - Granite Construction, Inc.: Good morning, Jerry.
Jerry Revich - Goldman Sachs & Co. LLC: I'm wondering if you could talk about the progress on the two out of the three projects that you expected to be completed in 2018. Did you folks make further progress than initially planned this quarter? I guess I'm just trying to put into context the gross profit decline in 2Q versus 1Q, and if that means that you're progressing ahead of the plan to wrap up those projects or any context you can give us on why gross profit performance declined 2Q versus 1Q would be helpful.
James Roberts - Granite Construction, Inc.: Sure. Sure. I think that the main crux of the difference would be that we did more work on those projects physically in the second quarter as a percentage of our portfolio mix than we did in the first quarter, Jerry. We knew that we were going to need to ramp up a couple of these projects in order to get them completed by the end of the year and the schedule showed in advance that we would be having significant efforts on those projects in Q2 and Q3. So, when we look at it as somewhat of a planned event, it is because we knew in advance what the work was going to be really focused on. And with that, our other projects, some of our projects, our newer projects work through the winter and you saw some of the improved results, because of the change in the mix. So, realistically there is no doubt that these couple of projects we're working on to complete by the end of the year are tough projects for us. But in general, it is going as planned.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. And then in terms of the change in the revenue outlook, but no change in margins, can you just say more about what's embedded for Layne and the acquired businesses, it looks like Layne adds about 8 points to your sales I believe in the back half of the year and at a higher margin. So, can you just talk about the revision to the sales outlook and it looks like less than that 8%, and also no change to the margin outlook despite including the higher margin business in the mix here. Can you just flesh that out for us in terms of the revisions?
James Roberts - Granite Construction, Inc.: You bet. So, and Jigisha can add to this if she needs to here. So, as we roll in Layne and LiquiForce, what we found in those businesses, from a gross margin perspective, from an EBITDA perspective, they're very healthy businesses and they really always have been in general. So, when we rolled that into the Granite organization in the back half of the year, again, only half. That's why the revenue expectations are in the mid- to high-teens and not higher, because they would be higher, obviously, if they were on board for the entire year, that they're generating the same kind of margins that Granite is. Now, again, what we're going to end up seeing here is that the accelerated depreciation and amortization will have an effect on them overall when it comes to net income. But their EBITDA generation is quite strong. And, in fact, their gross margins at the project level are even higher than the actuals, the legacy portfolio mix of Granite.
Jerry Revich - Goldman Sachs & Co. LLC: And in terms of just the sales impact, is that right, is that about an 8% tailwind to the full year sales based on the contribution in the back half? The reason for the question is it looks like the underlying organic guidance, if that's correct. It looks like the underlying organic guidance has been reduced. So I just want to make sure we have that right.
James Roberts - Granite Construction, Inc.: Yeah. Okay. So, the answer is no. Whether it's 8% or 7%, the organic growth expectations have remained steady. Strictly, the difference, the intended difference of the increased revenue guidance is strictly to add in the Layne and LiquiForce businesses. We do not expect any deterioration from the Granite guidance of our legacy business.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. Thank you.
James Roberts - Granite Construction, Inc.: Okay, Jerry.
Operator: Next question comes from Alex Rygiel with B. Riley FBR. Please go ahead.
Alex Rygiel - B. Riley FBR, Inc.: Thank you very much. Jim, a couple of questions. First, you've owned Layne for a little while now. Can you spend a few minutes talking about sort of what you see as you open up the hood there, and talk about positive surprises or negative surprises that might have developed in the last six months if at all any?
James Roberts - Granite Construction, Inc.: Yeah. Sure, Alex. Well, you open up the hood and what we like is it's a big engine. And the engine runs well. But as we knew, when we were focused on the acquisition, it needed really just to be given the ability to kind of open it up a little bit and get it going. And it had been hampered by a SG&A structure and a working capital issue that was constricting its ability to grow and operate. We've taken those restrictions away. We have been pleasantly – and I'm not saying surprised, but pleasantly integrated and they're meeting our expectations, if not exceeding in some respects. The people are really capable of doing their jobs. They are professionals. We're doing the integration of the Kenny Underground and LiquiForce and Inliner all together as Granite Inliner. And that integration is going to take some time. But in the interim, the performance is quite good. On the Mineral Services side of the business, we're seeing steady precious mineral pricing and we're seeing our rigs being booked for what we see the foreseeable future. So that's a healthy market. And on the water resources side of the business, we're really seeing the well drilling rigs in the West quite busy. And so we're learning more about the foreign affiliates. We're learning more about the foreign business. We're learning more about midstream. So, all-in-all, I would say that it might – it is what we expected. And I can tell you that the people who are now part of the Granite family, they are very capable, they are professionals and the combination of the Granite and those businesses, we're just encouraged and enthusiastic, because I think it's going to meet or exceed our expectations.
Jigisha Desai - Granite Construction, Inc.: And they're very culturally aligned.
James Roberts - Granite Construction, Inc.: Yeah.
Jigisha Desai - Granite Construction, Inc.: I would say that that's something that we have been very pleasantly surprised about the cultural alignment between the two companies.
James Roberts - Granite Construction, Inc.: Yeah. Thank you.
Alex Rygiel - B. Riley FBR, Inc.: And, Jigisha, do you have some guidance on how we should think about modeling Layne into the current three segments that you have right now? It sounds like you're going to provide us with a little bit more guidance in September at some point. But in the short-term, do you have some thoughts on how to think about layering the acquisitions into the existing structure?
Jigisha Desai - Granite Construction, Inc.: Yeah. So, we're going to have four segments, which we will talk about it in September. We're going to have a Transportation, we're going to have a Specialty Product, we're going to have Materials and then Water. And so, Specialty is going to have some of the – like the Kenny Tunnel and Kenny Power and the rest of it is going to roll up into water. The Material is going to be comprised of our Construction Materials as well as Layne's Inliner, which is the tubing material they sell. And so, it will be comprised in the Materials. So, the Layne and LiquiForce and a part of the Kenny Underground business is going to get divvied up between, I would say, the four segments. And we're going to have a more details coming to the broader group in September.
James Roberts - Granite Construction, Inc.: You know, Alex, it's just a reminder, that when you think about our vertically integrated model and Transportation that has been really part of the core structure of Granite for decades. In Inliner from the Layne standpoint, it has the same model. They have a company called Liner Products as Jigisha mentioned that develops and processes manufacturers liner products and sells to themselves and third-party. So, we like the idea of that vertically integrated model and we're going to roll it up into our Materials section as Jigisha said and I think that's part of the health of the business is creating what we call stacked opportunities through the vertically integrated model and you're going to see more of that as we go forward.
Alex Rygiel - B. Riley FBR, Inc.: Thank you very much.
James Roberts - Granite Construction, Inc.: Thank you, Alex.
Operator: Next question comes from Joe Giordano with Cowen. Please go ahead.
Joseph Giordano - Cowen & Co. LLC: Good morning, everyone.
Jigisha Desai - Granite Construction, Inc.: Good morning, Joe.
James Roberts - Granite Construction, Inc.: Good morning, Joe.
Joseph Giordano - Cowen & Co. LLC: So, I just wanted to understand like on the Large Project margin side, I hear what you're saying about accelerating Large Projects, but I feel like that's something we've been talking about for several quarters now. And if I was to be materially off on my margin, I would have thought it might have been to see revenue growth be much higher than our model too, see you're like really accelerate that through. We've been seeing revenue like 20% a year growth. I know comps got a little bit harder, but maybe if you could just talk about was there the same contribution from the newer projects as we saw over the last couple of quarters that allows you to kind of move margins higher, like that's what I'm having a little trouble reconciling right now.
James Roberts - Granite Construction, Inc.: Yeah. Sure. Sure, Joe. I think that just to kind of reiterate, we knew a year ago that we would be getting to the end on these projects this year. And we knew that from the portfolio mix, yeah, some of the newer projects, the burn is a lower portion of the portfolio than the older mature projects are during the middle of this year, because we accelerated. And in some cases, some of the other work, I'm not saying has slowed down, it's on schedule, but it was anticipated that it will be a smaller part of the overall revenue of Large Projects. So, I'm hopeful, and what we need to make sure that we do to our investor base is be very frank and focused that for the last year we've been hopefully suggesting that the second and third quarter – or actually the first three quarters, we would have a lower expected margin profile in Large Projects, with a big portion of these projects being concluded by the end of the third quarter. And we're on target. I think that what you're questioning is, so does that mean that the newer projects slowed down? Yeah, they might have slowed down, but they weren't anticipated to slowdown relative to the overall portfolio mix. So, they definitely swing through quarters, Large Projects, as every parts of our business do, whereas you could have some high-volume or high-value related items in a certain quarter and that's why we have tried to make it clear in Large Projects that that will change at the end of the third quarter.
Joseph Giordano - Cowen & Co. LLC: Okay. That makes sense there. I just want to – I know you kind of asked, and maybe we can do the math offline, but in terms of the contribution from M&A this year, if I assume that those businesses contribute much more significantly to the back half than they do to the front half, kind of like the rest of your portfolio, I mean, we're talking something like more than 8%. Even just on this year, we're talking something like almost 1000 (00:43:06) basis points of revenue contribution or something like that if we assume a little over $500 million from LiquiForce in those companies. So, like, I just want to make sure, you weren't thinking about those numbers somewhat correctly or – and how that layers into your guide for – going from low-double digits to high teens, because it seems like just (00:43:23)?
James Roberts - Granite Construction, Inc.: Yeah. I think that – sure, Joe. I think the math is simple, as you said. You could put low double digits, plus 7%, 8%, depending on where it goes. Certainly, it could get better. We want to be a little conservative on our expectations for revenue. So we layered in the mid-to-highs, but, yes, it could get better. And we do not see – and I want to reiterate this from a previous question, we do not see the legacy core business lower than it was the expectation going down from the first quarter. That is not the case. So, for a little conservative, on the overall revenue, so be it. But I think I'd rather be there than being overly aggressive.
Joseph Giordano - Cowen & Co. LLC: Okay. And then maybe last from me, Jim. What gives you – outside of just the initial bid price that you're going in, like, what gives you comfort that these projects that you're booking now, and I know they're smaller in their own, so that's probably part of your answer. But, like, how that these don't become projects three years from now that we're talking about as underperforming projects that we have to accelerate again?
James Roberts - Granite Construction, Inc.: I think it's a very reasonable question, Joe, very reasonable. Well, first of all, three years from now, they'll be done, because we're focusing on smaller, quicker burn projects. What we found over the last seven or eight years is that, when you get to these high-valued long-term projects, you can't predict the future. It just doesn't work. And I think all of us are seeing that in our businesses and in all respects, today. So, we're doing shorter-burn jobs, smaller jobs, jobs that we are in charge of, we're the sponsor. And we are being very, very picky as to who we work for. And I think that is something that the market in general didn't do a very good job of from about 2010 to about 2016. Their market was struggling, so you were out there bidding work to all types of owners and there are good owners and there are bad owners. And some of that will treat you with respect and in a timely fashion for changes and thoughts and progressions on jobs and others that historically are difficult to work for. We don't work for those anymore. We don't need to. We have changed our profile of the type of work and who we're working for so. So, yes, well, every job that we have, every new job we have today make or exceed budget, no. But we certainly believe that we are in a different environment as to what the expectations are. And if they don't meet margin, their expectation is they better be close to it, and from a cash flow perspective that the owner treats us fairly on cash flow. I think it's just a whole different approach in portfolio than it was. We don't see any of the new projects that we're in the middle of today causing us any real harm going forward. And that's really the key. And they are far enough along to be able to determine whether or not they're going to be healthy projects for the company.
Joseph Giordano - Cowen & Co. LLC: Okay. Thank you.
James Roberts - Granite Construction, Inc.: You bet, Joe.
Operator: Next question comes from Bill Newby with D.A. Davidson. Please go ahead.
William Newby - D.A. Davidson & Co.: Good morning, guys. Thanks for taking my questions.
James Roberts - Granite Construction, Inc.: You bet. Good morning.
William Newby - D.A. Davidson & Co.: Jim, I was hoping to kind of shift back to the public landscape, and we've talked about in the past how – when this fiscal year lapsed for California, there was going to be kind of an incremental bounce in funding that became available. You said the markets are hot right now. Is that kind of what is driving that? I mean, the color that you're seeing on the recent spike in activity will be great.
James Roberts - Granite Construction, Inc.: Sure. Sure. You bet, Bill. There is certainly the – California is a healthy market, and you're certainly starting to see the impact of SB 1 in California, again, slower than anybody anticipated and certainly lot slower than I would have liked to see it. But that really isn't the driver. And I mentioned that at the beginning of the discussion, that was $190 billion of measures that passed in 2016, we're starting to see, coupling that with the FAST Act, with TIFIA, WIFIA and infrastructure investment across the country, this is spread out across the country rather than being isolated in a California or a New York or a Texas. And those bigger markets historically would have been drivers or the drivers. But that's not the case anymore. It's everywhere. And, I think, finally what we're starting to see is that the voting public is starting to understand that infrastructure has just been neglected for decades. And, therefore, 30 states have passed measures to raise their taxes in order to work on infrastructure. So, it's a really nice balanced portfolio today, which for us allows us to be able to concentrate equally on all parts of the country. And I think that's unusual and not necessarily historically the case for us. But today, that's why I continue to say, today is the best demand I've seen in a decade.
William Newby - D.A. Davidson & Co.: That's great. And then, on California again, I guess, with the repeal coming up here at the end of the year, I don't know, do you think there's any sense of urgency from the guys spending the money, just to kind of put this money to work as quickly as they can to show the voters that they are putting this money to work?
James Roberts - Granite Construction, Inc.: Well, that would be my hope that they would do that, Bill. I think, again, that would lend itself to mostly maintenance-type work, because that's stuff they can get out quickly. The overlays, the seals, the scrapings and all these things that agencies can move quickly with and they're beginning to do that. I would say, as I mentioned earlier, I'm disappointed that it's even taken them this long. But I do know that with the Proposition 69 passing in June, that the people of California now know they have a lockbox for all those funds. And if they can't get out as fast as they'd like, they're still going to get out. And I do think that's another reason why, I believe, the second half of the year is going to be even stronger, because it has been a little slower than anticipated. And they do want to get all of this out and show that their SB 1 monies are being put to work for the public benefit before the elections in November. So, pretty much can guarantee, they're going to have a big onslaught and we're seeing that in the bidding environment today.
William Newby - D.A. Davidson & Co.: Got it. And then, just a quick one on the Materials business, I mean really good revenues there, I think pretty close to the best we've ever seen in a quarter, can you help us frame the upside there as work in California continues to ramp? I mean, do you start bumping up against capacity at any point, any thoughts there?
James Roberts - Granite Construction, Inc.: Well, first of all, I don't think there is a bump up on the revenue side. You're not going to bump up against anything. Our capacity on the revenue side is tremendous. And with the size of our facilities that we have, we have built those facilities that I've mentioned this in previous times, we've built those facilities to do a lot more volume than they've been doing in the last decade. So, we have built – a lot of them are built in the late 2000s, and then they sat for five years, unfortunately. So, lots of capacity. I would say that we're looking today at somewhere around 5% to 7% price increases so far in 2018. And I would say that the way that we want to approach the pricing is to be very methodical and make it very clear to our customer base that there is expectations for a methodical increase quarter-over-quarter and year-over-year as we go forward. So, I don't think the volume will be an issue for us. We will not run up against anything there. I do think that the one thing that sometimes you have to worry about is, you've got to be able to get product and I'm going to talk about petroleum related products. You have to have those available. We've been bringing in petroleum related products in from outside of our local markets. Granite has access to those markets where some of our competitors don't. So, that's an opportunity for us, but I think the pricing will be methodical. But I think the revenue can do whatever it needs to do to accommodate the market, so I don't see that being an issue at all.
William Newby - D.A. Davidson & Co.: I appreciate it, guys.
James Roberts - Granite Construction, Inc.: Okay, Bill.
Operator: Next question comes from Kathryn Thompson with Thompson Research Group. Please go ahead.
Steven Ramsey - Thompson Research Group LLC: Good morning, guys. This is Steven Ramsey on for Kathryn. I wanted to look at or ask few questions about Layne, and think about the bidding environment for wastewater and water. Do you think incentive systems need to change or is your approach different than what Layne has done historically in going after those markets?
James Roberts - Granite Construction, Inc.: Okay. So, again, they have very diverse markets. Inliner, which is the lining of the mostly wastewater pipes and some water and the laterals, that's a totally different market than Mineral Services than the well-drilling market. So, let's go through them real quickly. On the liner or Inliner business, it's a healthy market. They actually operate quite similar to Granite. And pleasantly, I wouldn't say surprised, just pleasantly acknowledging that their margins and their approach towards bidding is in line with us, with margins at or above where we see our business today. I do think that as we have been able to integrate Kenny Underground, LiquiForce and Inliner together, we are seeing that business migrate into new markets and with much more strength than they would have been individually. So, I think that that team should see some nice uplift in their revenue. And I think if they can continue to keep the margins that they're at or migrate those higher that's just a healthy business altogether and the market is strong. As we talk about items with, like, let's say, WIFIA, which is the Water Infrastructure Finance and Innovation Act, we've talked about consent decrees coming around the U.S. in locations, where there are issues today with water cleanliness, that business will stay strong in a healthy market. The other two businesses that is attached to the Layne businesses are much more volatile. And we knew that and being in the markets that they're in, that's going to continue. And certainly, as a smaller portion of our overall portfolio, that's an acceptable option and an acceptable expectation. On the Mineral Services side, I mentioned earlier that with precious metals really stabilized, I'm not saying that they're at an exceedingly high level, but at least they're stable. We're seeing a very strong demand for our product for geological exploration there. So I think that that market pricing could get better, but I think it's volatile. I think it could get better for the next six months or a year. As we look forward, we're starting to see more of the majors, increased our CapEx, which is really good for that business. But I do think that all of us that look forward in the minerals business knows that it's more volatile. Today, it's healthy. Now, on the water resources business, it's spotty. It's really healthy in certain parts of the country but other parts of the country, where there is a significant amount of rainfall certainly the water well drilling reduces itself. But in general, we're seeing most of our work in the well drilling business in the West really being booked and doing quite nicely. So, every market is different. They come from a different type of markets than Granite. We're learning those markets. But I would say they're very astute in terms of understanding their markets and we're going to work together to try to optimize the margins in each of those individual businesses. And I'm encouraged by the quality of their management and their teams. They certainly understand how to run their businesses.
Steven Ramsey - Thompson Research Group LLC: Excellent. Then a follow up on the Inliner business that you had talked about in the past, how it's the number two player and it's in a pretty fragmented market. What are the scale advantages there if any and what is the level of ambition to make more acquisitions in that market?
James Roberts - Granite Construction, Inc.: Well, okay. First of all, yes, it is a very fragmented market and we are still in the business of acquisitions and consolidating the market. So, we're very active in that position. But I think the reason that we can scale and get more value out of it, is when we combine the Kenny Underground, LiquiForce and Inliner, we now have the resources to go attack certain markets that we believe are where the biggest growth is. Individually, as Kenny or as LiquiForce certainly was not of the size, Inliner was hampered because they certainly didn't have the capital structure to allow them to go drill in certain markets. But when you put them all together and you create a capital structure for CapEx and expansion that will allow them to meet a much more aggressive strategic plan. I think it's going to be a really – it's going to be, at least a double or a triple, and we're hoping for a homerun, obviously.
Steven Ramsey - Thompson Research Group LLC: Excellent. Thanks.
James Roberts - Granite Construction, Inc.: Thank you.
Operator: The next question is a follow-up from Jerry Revich with Goldman Sachs. Please go ahead.
Jerry Revich - Goldman Sachs & Co. LLC: Yes. Thank you for taking the follow-up. Jim, we've had a couple of transition years here for Large Construction on these legacy projects. Can you just talk about your level of confidence that once two out of these three projects roll off that, as we think about 2019, we'll be back towards the targeted low- to double-digit gross margin range for Large Construction?
James Roberts - Granite Construction, Inc.: Okay. Good. I'm glad you kind of said that last, the last couple numbers in there because I do think that as we burned these projects off in 2018, we still have a little hangover going off in 2019 and 2020. And I don't want to suggest that we'll be at the mid-teens by 2019. But I do think, as we get into 2020, I'm confident that our teams are capable and are migrating in the direction they said they were going to. And we'll get back to those numbers probably by the beginning of 2020. That's the intent. And we have a lot of new work that we're bidding and we are – I'm also very proud of our Large Projects teams. They have been very patient and they have been very disciplined because what could happen if you're not, you can go out and say, I need to go get more work. And you can go do something that's irrational for the long-term. Our people have not done that. The leadership of our Large Projects team understands that this is not an acceptable option going forward. And the margins that they're getting on their work are very healthy. And I'm also proud of the fact that they're progressing inside the jobs and focusing on how to maintain or exceed their margins and they're really working hard or becoming better businesspeople. And I think that's part of the focus in the industry that was lost during the downturn. Everybody was building work but not focusing on the business perspective of these projects. Today, our teams are focused on discipline, patience and being businesspeople. And I have to say, again I'm very proud of what they're doing.
Jerry Revich - Goldman Sachs & Co. LLC: And can you clarify what's the magnitude of that overhang in 2019? I mean, should we be thinking about as low-double digits is achievable in 2019 or is the hangover bigger than that from the one remaining project?
James Roberts - Granite Construction, Inc.: I'm going have to anticipate. Let me go work on that a little bit for you. But, yeah, I would say it'd be very low-double digit. If you were to throw in 10%, I'd probably be – suggest that's a reasonable run rate for margins in 2019. And so, I think that – and that's obviously a nice boost from 2018.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. And then, obviously, I know it's not your base case, but there's a lot of concern about SB 1 repeal. Can you just talk about if it is repealed, what that would look like for your business? The contribution this year looks to be pretty minimal, as you said earlier. Can you just help us with the order of magnitude, because it's just certainly one level of overhang on the stock, even though the contribution this year looks to be really limited? So, I'm wondering if you just flesh that out for us.
James Roberts - Granite Construction, Inc.: Sure. Sure, Jerry. Yeah I think it is less than we would have hoped for, for this year. But I do think that as it has moved back in the scheduling – that probably even if there was a repeal, which I don't think will happen. I don't want to make that clear. We are working hard with a lot of different representatives I'm talking about leagues of cities and counties and CalChamber, labor unions. I mean everybody, every business associated entity is working hard together to make sure that it does not get repealed. So, we always tell everybody you've got to get all the acronyms straight, but the idea here is vote no on Proposition 6 in California. Proposition 6 would repeal SB 1. Here's the point that I want to make. As this money has moved back in 2018, I think it's going to create a healthier 20:19. And that's really – and I don't think -and even if an out of the ordinary occurrence happened in November, I still think 2019 will be a healthy year in California, because the monies would have been collected already and they'll spend them. And so, I don't see a big impact to 2018, and I don't see a big impact to 2019 at this time yet, because I don't know what the actual total change in dollars would be but I know they'll have six months or collections already in place, but I do think it would impact 2020, maybe. But I think by that time what will end up happening if again, if this did occur, you're going to have other funding mechanisms in place to offset it. So, I think what they have finally done in the state of California as in most other states is, they've woken up to the fact that they've got to have increased infrastructure spending of some nature. California just did it in a bigger way, because it's a bigger state. I'm not concerned that it will have an significant impact to us though in 2018 at all.
Jerry Revich - Goldman Sachs & Co. LLC: Okay. Thank you.
James Roberts - Granite Construction, Inc.: Okay, Jerry.
Operator: At this time, this will conclude today's question-and-answer session. I'd like to turn the call back over to our hosts.
James Roberts - Granite Construction, Inc.: All right, well, everybody thank you for your questions as always. A quick note for shareholders and investors, Jigisha, Ron and I will be on the road and at conferences visiting our operations and investors around the country throughout the second half of the year. Please reach out to Ron and we look forward to spending some quality time with you. Now thank you to all of our employees for keeping your fellow workers safe and for exhibiting Granite's core values every single day. As always, Jigisha, Ron and I, are available for follow-up if anybody has any further questions. And have a great day, everybody. Thank you.
Jigisha Desai - Granite Construction, Inc.: Thank you.
Operator: The conference is now concluded. We want to thank you for attending today's presentation. You may now disconnect.